Benita Barretto: Good morning, and thank you to all those who have joined us on one of the busiest reporting days this quarter. With me today are Adecco's group CEO, Alain Dehaze; and CFO, Coram Williams. We will review our Q4 and full year results, provide an update on the AKKA transaction as well as comment on outlook and 2022 priorities. Following these prepared remarks, we will open the lines for your questions. Before we begin, I would like to draw your attention to the information on Slide 2. On today's call, we will be referencing both GAAP and non-GAAP financial results and operating metrics. This conference call will include forward-looking statements. These statements are based on assumptions as of today and are therefore subject to risks and uncertainties. With this said, Alain, over to you.
Alain Dehaze: Thank you, Benita, and a warm welcome to everyone on our call. I will begin on Slide 3, with group highlights, starting with fourth quarter financials. The group revenues momentum accelerated on a sequential basis moving up 3%, and margins were strong, the gross margin of 20.7% was driven by strategic actions to shift the portfolio, favorable mix and supportive pricing. The 4.7% EBITA margin further reflected cost discipline while investing in growth. Turning to the full year report. Revenues were strong, moving 9% higher year-on-year, both the gross margin of 20.4% and an EBITA margin of 4.6% were at sector-leading levels. In addition, the group delivered solid cash generation with an 83% cash conversion ratio. The group also made good strategic progress through the year. The shift to the three global business unit structure was delivered. The structure is core to our strategy, aimed at enhancing focus, reducing complexity, improving resource allocation and alignment with customers. Talent Solutions has become LHH, operating through solutions-based business lines to amplify growth and profitability. And as of today, the group now holds 64.7% in AKKA Technologies. We are excited to begin the integration of AKKA and Modis that will create a smart industry leader, delivering significant value to shareholders. Turning to sustainability. The group's social impact remains meaningful. Over the last 12 months, we have upskilled nearly 750,000 individuals. Also, gender parity is up 4% for the group compared to 2020 to 36% and has improved across the leadership teams of all GBUs. Moving to Slide 4 and the financial overview of the full year, where I will focus on two results. First, we draw your attention to the group's drop-down ratio which, at 46% is in line with management guidance. Second, the group's strong recovery from 2020's sharp downturn, its solid cash generation through 2021 and confidence in the outlook, manifesting the Board's proposal for a dividend per share of CHF 2.53. The proposed dividend is in line with the group's progressive dividend policy. Let's now turn to Slide 5 to explore the group's robust performance. The chart on the left of the slide shows the group's revenues relative to 2019 levels. After broadly stable development over Q1 to Q3 2021, in Q4, the group's revenues trajectory noticeably improved. The group has closed out the year with revenues essentially returned to 2019 levels. Looking at the middle chart, the group and all GBU have clearly expanded gross margin. The group has delivered 130 basis points accretion, evidencing strategic actions to strengthen the portfolio. And Adecco has delivered 120 basis points improvement, showing benefits from their value strategy, including improved mix through the targeted expansion of high-value activities such as training and outsourcing. The group's EBITA margin at 4.6% has remained stable, at a sector-leading level. Looking beneath the group results, the improvement in Adecco, up 40 basis points to 4.9%, is notable. Overall, the group protected its profitability well during 2021. However, we acknowledge that growth momentum was not as strong as we would have liked. With hindsight, we underestimated the pace at which global economies would rebound from the pandemic, and therefore, did not invest much earlier in the year to expand frontline capacity. We recognized this and acted over the later half of the year. Entering 2022, the group plans to stay in investment mode, thereby delivering improved growth momentum. Let me now hand over to Coram, who will discuss the Q4 results in detail.
Coram Williams: Thank you, Alain, and good morning, everybody. Let's move to Slide 6, where like we did last quarter, we provide insights into current market dynamics with a focus on recent U.S. statistics. The significant rebalancing in the demand and supply of labor continues. The graph on the left hand of the slide shows the talent scarcity issues eased slightly in Q4 relative to Q3. However, worker participation rates remain well below pre-pandemic levels. In January 2022, the rate was 62.2%, nearly 1% below 2019's rate. Furthermore, the 2030 estimate for participation at 60.4% suggests labor supply is set to remain tight as the population ages. In other words, talent scarcity is structural. Meanwhile, the U.S. economy has rebounded and job openings have soared, creating an acute mismatch with labor supply. The graph in the middle provides detail at a sector level. There are discrepancies between sectors, but the broad dynamic remains, there is a lack of available workers. On the right of the slide, we show some of the findings from Adecco's workers survey conducted this January. This survey provides insights into why people are reviewing prospects on top of retirement patterns. The desire for higher salaries and greater flexibility means that overall, one in 10 workers told us that they might quit because they are not satisfied with their role and their pay. This combination of worker participation decline, strong employer demand and the propensity among workers to change jobs is driving significant wage inflation in the global economy. The Adecco Group is seeing this in its businesses. LHH and Modis are both seeing high single-digit wage inflation. And outside of Europe, Adecco is also seeing high single-digit salary rises. The group is at the center of these developments, and we're likely to benefit from them over time, both strategically and financially. Let's turn to Slide 7, which provides an overview of Q4 financials. The group delivered revenue growth of 1% year-on-year on an organic trading days adjusted basis. Gross profits were up 7% year-on-year on an organic basis. And the 20.7% gross margin was up 110 basis points year-on-year organically. The EBITA margin of 4.7% was 10 basis points lower, a healthy result given the lower benefit from support schemes versus the prior year period. Basic EPS was €1.11, up 21% year-on-year. And cash flow and year-end balance sheet positions were strong. Let's now look at the results of the GBU level, beginning with Adecco on Slide 8. Adecco's revenues were flat year-on-year and strengthened on a sequential basis by 4%. In Flexible Placement, demand from healthcare was strong. Manufacturing activities, which account for around 40% of business unit revenues, were robust, up 1% year-on-year. At the same time, auto's demand was approximately 30% lower year-on-year. Adecco also faced a tough comparison period in logistics and transport, a sector that represents around 13% of revenues. There are two drivers behind logistics and transport developments this quarter. Firstly, several logistics contracts that the UK business took over from a distressed supplier in Q3 2020 have now ended. We highlighted this in Q3, but the tough comparison period persists. Second, as COVID-related restrictions have been removed, there's been a rebalancing of customer spending patterns. Although this resulted in lower revenues versus 2020, underlying demand in this sector remains structurally stronger, with revenues well ahead of pre-pandemic levels. The strategic focus of Adecco on higher-value activities delivered. Permanent Placement was up over 70% year-on-year and other services, such as training and outsourcing, were up over 20% year-on-year. Gross profit margin at over 16% and the EBITA margin of 5.2% were both sector-leading. Margins were supported by services and country mix, as well as pricing actions and good cost discipline was maintained. These strengths, combined with the structural talent scarcity outlined earlier, provide Adecco with scope to further invest in sales to drive higher growth. Moving to Slide 9, which shows Adecco at the regional level. In France, revenues grew 5% year-on-year and 5% on a sequential basis. The business has pivoted towards more dynamic sectors, including logistics and food and beverages, incrementally improving performance. Growth was, however, held back by autos. In Northern Europe, revenues were 15% lower. Revenues in the Nordics rose 10%. In Benelux, they were 5% lower, impacted by a move to net revenue recognition on a handful of contracts in the Netherlands. UK revenues were impacted by the tough logistics comparison, highlighted previously. Excluding these impacts, Northern Europe revenues were robust. In the DACH region, revenues for Germany were down 7% due to headwinds from autos and a tough comparison in logistics. Swiss performance improved, with revenues 5% higher. Southern Europe and EEMENA performed well. In Italy, revenues were up 18%. In Iberia, revenues were 2% lighter due to subdued autos and logistics. Turning to the Americas, revenues were 7% lower. Latin America declined 4%, impacted by new legislation in Mexico that prohibits temporary staffing. Excluding this impact, Latin America revenues were up in double-digit terms, with Adecco taking market leadership. North America revenues moved 9% lower. In Adecco U.S., the turnaround continues. We have reinforced leadership, with the appointment of Eileen Sweeney as the Head of Adecco U.S. She is responsible for ensuring that the operating model that was put in place during 2021 delivers the intended performance improvement. While we expect the turnaround to take several quarters yet, some green shoots appeared. Sequentially, the Adecco U.S. revenue result was stable. Permanent Placement revenues were up over 70% year-on-year, and gross profit per FTE improved 20%. Finally, APAC delivered another strong quarter, with revenues up 11%, Japan up 8%, and notable strength in Australia. Let's turn to Slide 10 and the new LHH business unit, which includes the legacy LHH and professional recruitment units that we will refer to today as Career Transition & Talent Development and Recruitment Solutions, respectively. Revenues were up 4%. Both U.S. and Global Recruitment Solutions excelled, leveraging strong demand in the market for Permanent Placement. Combined, gross profits were up around 35% year-on-year. The U.S. achieved a record Q4 and over the full year, placed nearly 9,000 people in permanent roles, with the strongest growth in human resources and technology. Spain, Italy and Germany also achieved record Q4 results. Career Transition & Talent Development revenues were 25% lower. Strength in talent development was outweighed by the anticipated weakening momentum in the countercyclical Career Transition business as the global economy improved. At General Assembly, revenues were 20% lower. The spread of Omicron impacted GA's ability to run classes, and in the context of an improved economy, demand was subdued. In Pontoon, revenues grew 9%, led by MSP and RXA. LHH's digital platforms, Ezra and Hired, both advanced strongly. Ezra's revenues were over 200% higher year-on-year and Q4 reached an all-time high for Hired, with bookings at an annualized revenue run rate of €40 million. Margins of 6.3% and were impacted by the unprecedented pace of the slowdown in Career Transition and higher digital investment. Management is rightsizing Career Transition, although it may take several quarters for the benefit to fully flow through. Meanwhile, we see LHH delivering strong returns from its growth investment in Ezra, Hired and Recruitment Solutions. Moving to Modis, our high-tech services business, on Slide 11. Revenues in Q4 were up 14% year-on-year. Tech Consulting grew 8%. Tech Talent Services rose 18% and the Tech Academy was up 73%. On a regional basis, the Americas were up 24%, led by autos, aerospace, manufacturing and financial services customers. Revenues in both EMEA and APAC were up 8%, with core markets, for example, France and Germany, up in double-digit terms. Both EMEA and APAC benefited from the strategic focus on Tech Consulting. The EBITA margin of 7% was 70 basis points higher year-on-year due to better volumes, mix and pricing. Let's return to the group results on Slide 12. First, let's consider the main drivers of gross margin on a year-on-year basis. Flexible Placement had a positive impact of 40 basis points due to favorable mix and pricing. Permanent Placement had a 110 basis point positive impact, reflecting higher placement and fee levels. The downturn in Career Transition had a 70 basis point negative impact. Growth in Other Services, including training, upskilling and outsourcing, had a 30 basis point positive impact. Overall, the gross margin was up 110 basis points in reported terms and up 110 basis points organically. At 20.7%, it is an excellent result, showcasing the increasing balance of the group's portfolio. 60% of gross profits come from Flexible Placement, 40% from sectors outside of general staffing. Moving to the EBITA bridge on the right hand of the slide. Gross margin expansion was somewhat countered by higher SG&A. The headline move of 10 basis points disguises underlying performance, however, as the last year's EBITA margin included 40 basis points of benefit from support schemes. Adjusting for this, the EBITA margin is 30 basis points higher year-on-year. In sum, costs have been managed in a disciplined way, with G&A spend lower by 3% year-on-year, while we've begun to invest more substantially in sales capacity to drive future growth. Moving to Slide 13, we consider the group's productivity. The organic drop-down ratio, meaning incremental gross profit converted into incremental EBITA, was 46% for the last 12 months. This result was in line with the group's full year guidance, and Adecco was above the group level, with a drop-down ratio of 60%. The group's conversion ratio was a healthy 22%. Both Adecco and Modis showed good improvement in the conversion ratio on a year-on-year basis. Turning to the right hand side, we look at productivity on a gross profit per employee basis. Year-on-year improvement is visible in all businesses. Let's turn to Slide 14 and the outlook. During 2021, the group focused on protecting profitability through agile cost management and commercial discipline. As the pandemic eased in the second half of 2021, we accelerated investment in a focused and disciplined way to improve growth momentum. For 2022, macroeconomic indicators point to robust economic growth, which is expected to support healthy demand for the group's services. In Q1 2022, the group expects solid revenue growth on a year-on-year basis, with modest sequential improvement relative to 2019 levels. We plan to continue to invest in sales resources in early 2022, particularly in Adecco during Q1 and Q2. This investment will likely reduce margins temporarily. We expect returns within the year, such that incremental investments will not be dilutive to Adecco's margin on a full year basis and will deliver accelerated growth. With that, I'll hand back to Alain.
Alain Dehaze: Thank you, Coram. Turning now to Slide 15, let's remind ourselves of the compelling rationale for AKKA. By merging AKKA with Modis, we create a global number two player in the faster growth, higher margin, outsourced engineering research and development services market. The acquisition represents a major development in the execution of our Future@Work strategy, delivering on our ambition to truly differentiate. And it provides a compelling value creation opportunity for investors, being gross margin and EPS enhancing in year one and EVA accretive in year three. We have unveiled today the future global brand for the combined business, Akkodis, the new brand leverage the existing value of both AKKA and Modis with their stakeholders and provides a clear distinct brand proposition to customers and colleagues to amplify business development. Let's move to Slide 16, which provides an update on the acquisition and integration efforts for AKKA and Modis. Today, we have announced closing of the first stage of this transaction, taking a majority holding. The highly experienced management team that unite AKKA and Modis alumni has been put in place under the leadership of Jan Gupta. In addition, we are pleased to announce that Dominique Cerutti, the previous Chair and CEO of Altran from 2015 to 2020 will serve as a senior adviser to Jan and the future Akkodis. Dominique has a stellar track record in developing digital engineering businesses and leading successful transformation and integration efforts. I firmly believe his industry know-how and experience will support our ambition to combine AKKA and Modis successfully. The integration team have been planning extensively for this moment. Work to map functions and systems and to develop comprehensive operating rules can now bear fruit. Synergy targets have been assigned to functions and countries and both businesses are positioned to go to market effectively from today onwards. The graph on the right of the slide provides a breakdown of where synergies will be delivered and the team has good line of sight on actions that will deliver around 70% of the 2022 target, supporting confidence in our ability to deliver intended EBITA uplift. Going forward, management will refine the future operating model and execution priorities, including expansion of offshore capability. From H2, we expect the businesses to begin operating as one. Akkodis is uniquely positioned to be a long-term partner to customers in need of high-tech experts, and I would like to take this opportunity to welcome our new customers and our new colleagues. To conclude, on Slide 17. The group has made good progress in the first year of Future@Work, embedding the new global business unit structure, beginning the transformation of LHH and creating global smart industry leader by combining AKKA with Modis. As we look to 2022, management is fully focused. First, particularly in Adecco on ensuring investment in sales, supported by digital delivers higher organic growth in a profitable way. Second, on building momentum in the Adecco U.S. turnaround. Third, on integrating AKKA and Modis and delivering targeted synergies. Fourth, on driving benefit from the new LHH and its one-stop shop HR Solutions offering. And last but by no means least, leveraging the benefits that the group's unique ecosystem offers. With that, we are ready to move to the Q&A session. So operator, we are ready to take the first questions, please.
Operator: The first question come from the line of Andy Grobler for Credit Suisse. Please go ahead.
Andy Grobler: Hi, good morning. I've got lots of questions, but could I just ask three for now, please. In terms of full year drop-through guidance, what are your expectations for 2022, firstly. Secondly, just on exit rates from – at the end of the year and the extent to which you feel that Omicron played a role in those numbers and what you're seeing into the beginning of this year in your various markets? And then thirdly, just on RPO, one of your larger competitors had a very strong performance in RPO in Q4. Looking at the Pontoon numbers, that doesn't look to be replicated at Adecco. Do you know why that is the case? Thank you very much.
Coram Williams: Hi Andy, this is Coram. I'll take your – I'll take the first two on drop-through and exit rates, and I think then Alain will pick up on the RPO point. I mean, in terms of full year drop through, I think we talked about this previously, that the drop-down ratio is a very helpful measure and metric at the beginning of a recovery when you're really managing the drop-down of the incremental resource and making sure that there's tight discipline around profitability. But over time, the drop-down ratio converges on the conversion ratio. And so we think it was helpful at the beginning but we don't think actually, going forward, it's the measure to focus on. Instead, we focus increasingly on the conversion ratio and the margin. And you've seen that the conversion ratio in 2021 improved and the margins improved, obviously, class-leading for the full year. And we would expect further improvement, obviously, in 2022 without giving a full year guide. In terms of trading, we saw in January a modest pickup. So revenues actually in January were back to 2019 levels. We saw strong performances in the businesses that have got momentum in Q4, particularly in Modis, particularly in Recruitment Solutions, but we also saw an improvement in France, in Adecco, in DACH and in Northern Europe. And I think that’s because the investment that we’ve been making is paying off, which gives you confidence that as we invest further, we’re able to drive further momentum from it. But to be clear, the trading that we’ve seen is very consistent with the guidance of solid revenue growth and modest sequential improvement. So I hope that’s helpful on drop-through and trading.
Alain Dehaze: So now, coming to the question of RPO. Basically, when we look at our overall performance in permanent recruitment, we are extremely satisfied. You have seen our results in the U.S. and outside the U.S. Then more specifically, on the recruitment process outsourcing, there also – when we look at our performance versus 2019, we see really sales increase led by strong MSP and RPO at Pontoon, for example. So from all sides, I must say that we are pleased with this performance.
Coram Williams: And just one point to add for me. If you were to look at the two-year stack and look at RXO and MSP versus 2019, they are both up healthy double digits. So we we’re pleased with the momentum and the progression in that business.
Alain Dehaze: Thank you, Andy for your question.
Andy Grobler: Thank you.
Operator: The next question comes from the line of Anvesh Agrawal from Morgan Stanley. Please go ahead.
Anvesh Agrawal: Hi. Good morning. I got three questions as well. First on the impact that you’ve said in Germany from the logistics and sort of autos. Can you just tell us a bit more, how big the drag in from logistics was particularly? And do we expect that to continue for another two, three quarters? And then, just sort of clarification on your exit rate in January where you said it’s back in pre-pandemic level. Just to be clear, that is not adjusted for any of a contract exit or change in the accounting for payrolling contracts that you have done, it’s on absolute basis? And then finally, sort of you were stable sequentially in the U.S. in the Adecco GBU while the market, it has shown some pickup. So can you tell us why there is a bit of a disconnect?
Alain Dehaze: So regarding your first question, Germany auto, I would say that – auto and logistics. So basically, you see that we have been like – let’s say, our industry and many other industries, we have been suffering from the global supply chain issues impacting, especially, the semiconductors in the auto industries. And as we have activities in Germany in auto, but not only in Germany, also in France, in Spain, in Italy and in the U.S., that’s where you see the impact of these global chain issues. On the logistics. Perhaps, to put first the context, it is clear that we had a strong growth, 40% plus in Q4 2020. So the comparatives are tough on one hand. Second, you have seen in the Q4 2021 that consumers have changed their habit and adapted their consumption behavior, has had also the opportunity to go back to the retail. And as such, it has also impacted the e-commerce, and as such, the logistics linked to e-commerce. And that’s what we have seen in Germany, impacted the – or specifically, our business in the logistics.
Coram Williams: Let me pick up on the question about the sequential improvement. I mean, between December and January, to be clear, there was modest sequential improvement in absolute terms. In other words, it is consistent with our guidance, and we’ve not adjusted it for anything. On your point about the U.S. So sequentially stable, not looking good compared to the market. Actually, that’s not our perspective. What we have seen in the U.S. market is that a number of our peers, actually, the sequential momentum has reduced, whereas ours has remained stable. And I think that’s why we’re highlighting it as a green shoot and demonstration that we are stabilizing the business, and it’s actually starting to pick up.
Alain Dehaze: And coming to your questions regarding the relative revenue performance of Adecco. I would say that our ambition, as you know, has been to always drive sustainable, profitable growth, with very high quality of earnings. So now, going forward, we have a kind of fivefold plan. First is to continue to – the expansion of our sales capacity. And this to drive really organic growth, that’s point one. Second, we want to continue the success we have with our solution selling. You have seen our double-digit growth in training, in permanent recruitment and so on. So for Adecco, it’s really great to leverage this ecosystem. We will also continue – and the third point, to implement and leverage the digital products we have. QAPA, QAPA in France, Adia in the U.S. really to driving that kind of omnichannel strategy. And we will continue to rightsize our branch footprint. And for sure, we want to balance the access to the small and medium enterprise, which are more branch-oriented versus a kind of centralized service with career center for large customers. And finally, it is clear that we are also focusing our attention to the progress of the U.S. turnaround plan to make sure that we come back as soon as possible back in the direction of the market. Thank you for your question.
Operator: The next question comes from the line of Sylvia Barker from JPMorgan. Please go ahead.
Sylvia Barker: Thank you. Hi. Good morning, everyone. Three as well for me, please. Maybe first on AKKA. Could you just elaborate – you made a comment on the synergies, but maybe in terms of the asset kind of EBITA pre-synergies that we should be including in the numbers from the 12-month view, please? If you can just give us an update there. Then on the Career Transition restructuring. So I suppose the one-off was quite a bit bigger or was a surprise to us. So could you maybe provide a split of what these costs are exactly and whether there’s any more to come? And then finally, on your investment. I guess we have seen quite a few of the temporary markets kind of already reach 2019 or higher levels now. So if we think about, I guess, the timing of these investments, are you kind of still happy to continue to invest going forward, given maybe you missed some upside already and which regions will you be investing in specifically within the Adecco brand? Thank you.
Alain Dehaze: Thank you for your questions, Sylvia. I will perhaps start with your third question. And there is some echo in the line, I don’t know. So I would say that, that’s what we have stated in our communication. We have – as we have always this focus on sustainable profitable growth. You can consider that we have started to invest a little bit later than some other, mainly starting from Q3 and then continuing in Q4. But when we look – and that’s what we have also said in our outlook, when we look at the macro indicators regarding 2022, we are confident that the economy will continue to be strong. And so for that, we think that it is also the right moment to continue to invest in a profitable way because we are really confident in the future.
Coram Williams: And maybe, I can just add to that. I mean, firstly, where we have invested, so Recruitment Solutions, for example, Adecco Italy last year, we have generated really good returns and you see that in the numbers. We typically get returns within 6 months, they pay back. And that gives us the confidence that whilst there may be short-term pressure on the margins, we will see a further acceleration in the growth momentum for the remainder of the year. And it will not be dilutive to Adecco’s margin on a full year basis. So we’re confident in the way that we can do this, and we will invest with agility, pointing to territories and sectors where it makes sense for us to invest. On your other two questions. So in terms of AKKA, obviously, we only closed the deal yesterday, and we are announcing it today. They have their own results presentation on the 10th of March, and I’m sure they will talk about where they are at then and indeed give some guidance going forward. But in the interim period, there is a consensus out there, and I think it’s probably the best benchmark that you can look at externally. On the one-offs, there is a significant level in Q4. There is a breakdown in the press release, if you need it, both by business unit and by function. We’re very transparent on this. But really, the three buckets of costs are: one, LHH, where, as you know, the downturn in Career Transition was unprecedented, much swifter than anybody anticipated. And we did take actions later in the quarter to rightsize that business. Secondly, there has been some further property rationalization, which is added to one-off costs, but has a good return over time. And thirdly, obviously, we have been making sure that we are very prepared for day one of the Akkodis deal and the integration. And so there have been some costs relating to ramping up a very substantial integration office and a lot of the planning that will allow us to deliver the synergies rapidly and very clearly within the P&L.
Alain Dehaze: Thank you, Sylvia for your questions.
Sylvia Barker: Thank you very much. Can I just sneak in one follow-up, please, just on the investments. And just to clarify, I guess, the comments around the next couple of quarters in the year. So basically, that means margins are down year-on-year kind of early on in the year but then you think they will be at least flat for the full year? Just to be clear on the comments.
Coram Williams: Yes, exactly. So there will be some short-term reduction. We’re being very clear on that in our outlook and in our comments in terms of the margins in Q1 and Q2. But based on our track record so far and where we invest, we’re very confident that we can deliver swift returns on those investments, and it will not be dilutive to either Adecco or the group’s margins on a full year basis.
Sylvia Barker: Thank you very much.
Alain Dehaze: Thank you, Sylvia.
Operator: Next question comes from the line of Suhasini Varanasi from Goldman Sachs. Please go ahead.
Suhasini Varanasi: Hi. Good morning. Thanks for taking my questions. Good morning. Just a few for me, please. Going into 1Q, can you maybe provide some color on how you expect gross margins to evolve? And how we should be thinking about SG&A on a sequential basis, how much of growth do you anticipate? Then the second one is on the U.S. business. I think, in the press release, you did mention something about the exposure to legacy sectors and candidate scarcity in the lower wage blue-collar roles. Please, can you remind us what is the current exposure to the legacy sector that you’re talking about here? And what are the targets to reduce it by the end of 2022? And just to be clear, as a follow-up, you don’t expect material restructuring charges for 1Q? Thank you.
Coram Williams: Let me take the points on gross margin and SG&A, and I’ll pick up on restructuring as well. And then maybe Alain will touch on where we are on the U.S. sectors. In terms of gross margin, I mean, the headline really is that we would expect it to be very similar to Q4. So M&A would be roughly neutral. FX would be roughly neutral. We expect ongoing momentum in Recruitment Solutions. So let’s assume that will be similar to Q4, so up around 100 basis points. I think we anticipate further pressure in Career Transition. Because as we know, that’s a countercyclical business and economies are strong. So let’s assume that is down 70 basis points. In terms of the flexible solutions business, we’d expect that to be up around 40 basis points on an underlying basis. But remember, there were some gross margin benefits in 2021 relating to employment support schemes of 20 bps, so your headline movement would be somewhere between 10 and 20 basis points. If you put all of that together, expect an improvement of 40 to 50 basis points. On SG&A, we – in Q4, it was up 10% year-on-year. We would expect that to continue. We are, as we’ve said, continuing to invest to drive good returns. And so I think you should assume that what we’ve seen year-on-year in Q4 will be similar year-on-year in Q1, so around 10% up. And then in terms of restructuring, we wouldn’t expect material restructuring in the rest in the core business, but there will obviously be one-off integration charges relating to Akkodis. And we have quantified all of this in the appendix of the presentation. I think we’ve said €70 million for the full year. So we’re trying to give you a sense of what we’re going to spend. The majority of that is obviously relating to Akkodis.
Alain Dehaze: Now coming to the U.S., different things. First of all, when you look overall at all Q4 revenue development, we see that it is stable versus Q3 2021. So we had, for North America, minus 9% year-on-year in both quarters. So – which is we are very pleased with this development, especially when we look at the peer group. It is clear that we see that a model focused on client industries improve the purchase of the market and the growth. And if we look at our four verticals on which we are focusing for the growth: technology, logistics, medical science, professional finance and insurance, there, we had an aggregate 5% year-on-year growth. So that’s also a good development. We see also that our pipeline looks solid. So we have a pipeline, which is at the end of Q4, 52% higher than the level of the pipeline we had in July 2021. And finally, yes, we see that manufacturing and especially, again, auto enhance – plays a clear role especially in manufacturing. There, we are at minus 19% and it is mainly driven by parts shortage. Also retail, we have been suffering, mainly because lower client demand. But that’s what I can say overall on the U.S. Thank you for your question.
Suhasini Varanasi: Thank you. Thank you very much. Can I just sneak in one last one, please? In your remarks, you mentioned something on wage inflation, and it was very helpful to get the color outside of Europe, this high single digits. What is it in Europe, please? Thank you.
Coram Williams: Let me just remind us of the drivers here, because as I mentioned in my remarks, we’ve got participation declines in terms of the labor market. We’ve got companies responding to an increased pace of transformation by upping their recruitment. And we’ve got people with a higher propensity to change roles. When you put all of that together, that is driving significant wage inflation. And we’ve seen it in our professional businesses, the U.S. and Global Recruitment Solutions, as well as Modis. And as I mentioned, it’s high single digits in both of those businesses. Now in Adecco, in the U.S., the UK, emerging markets, we’re also seeing high single-digit wage inflation. In Continental Europe, it is lower than that, simply because you have collective labor agreements in a number of these markets, and that holds the immediate wage inflation back. But I think, over time, if these conditions persist, we’d expect to see those CLAs start to reflect some of the pressures that we’re seeing in the other labor markets. And there’s one final point that I’ll make on this, which is the combination of talent scarcity and some of the dynamic pricing that we’re able to undertake means we can also take advantage of this. And the spreads between bill rate and pay rate have improved. And that helps drive the gross margin. So I hope that gives you more color. It’s obviously a positive for the business.
Suhasini Varanasi: Thank you so much.
Alain Dehaze: You’re welcome. Next question please.
Operator: The next question comes from the line of Rory McKenzie from UBS. Please go ahead.
Rory McKenzie: Just two for me, please. Firstly, on the temp gross margin, it’s been a positive driver for six quarters now. So how do we think about the outlook for this year, but then even beyond that, how sticky is that gross margin increase? And how permanent do you think the mix shift that you’re driving is? And then secondly, it was interesting, you said with hindsight, you could have added more heads more quickly to accelerate revenues faster. Can you say how big you think that gap is? Or maybe, how much catch-up headcount you plan to add? On the outside, we can compare your organics to peers or your organics to market data and see those gaps but interested to hear your view. Thank you.
Coram Williams: Thank you, Rory. I’ll take both of those. I mean, just on the gross margin, as I mentioned, when giving a sort of steer on Q1, we would expect temp gross margin to continue to improve on an underlying basis. We’ve talked about the talent scarcity and the impact on wage inflation and the fact that we’re able to price in a dynamic way, which really helps us to drive gross margin. And we have a value-based strategy where we are aiming for always improving the mix in terms of higher value services being added into our offering. So we do see an opportunity to continue to improve. And clearly, there is a law of diminishing returns here because we have a class-leading gross margin. We’re expecting that to improve quarter-on-quarter. There will be a point at which those improvements do abate, but I think for the next few quarters, you’d expect to continue to see that. On the point around investment, I think the key thing here is that we will be very agile and flexible in the way that we deploy additional resources. So we – this is a business where we can pivot quickly towards sectors and countries, and that’s how we’re going to manage this over the next couple of quarters. So it’s very difficult to be precise about the exact numbers of people and where they go, but our aim is to accelerate sales momentum. And I think you should see a meaningful improvement in second half growth.
Rory McKenzie: Thank you. And just to follow up on that point on the meaningful improvement because obviously, you were saying earlier that you typically see that, I guess, six-month payback or productivity ramp-up in this new heads adding, your head count started to accelerate more notably kind of through Q3. So just interested that you think the more notable pickup would really be in the second half of this year rather than anything sooner.
Coram Williams: Well, you’ve already seen momentum in Q4. And we are guiding to sequential improvement in Q1. So I wouldn’t want you to think that we’re not getting the returns on the investments that we’ve already made, but I’m focusing on the investment that will go in, in Q1 and Q2, that will drive returns increasingly in the second half.
Rory McKenzie: Okay. That’s great. Thank you very much.
Benita Barretto: One last question, please operator.
Operator: The next question comes from the line of Konrad Zomer from ABN AMRO. Please go ahead.
Konrad Zomer: Hi. Good morning, gentlemen. Just a few questions. You’ve already suggested that the growth in headcount in the next few quarters might be more than the 10% that you reported in Q4. Does it become more difficult for yourself to recruit these people, given the talent scarcity in most important markets? And I continue to struggle why the organic growth rate in Q1 and Q2 would be up year-on-year at a higher rate than what you produced today year-on-year, as in plus 1%. And finally, the revenues of the UK logistics contract that disappeared in the quarter because of the termination, were there about €45 million? Is there a number that you can confirm? Thank you.
Coram Williams: Well, let me pick up on the investment point. So I just want to reiterate, in terms of the guidance for SG&A, Q4, we were up 10%, and I’m steering you to think about a further 10% year-on-year in Q1. So it’s not that, that percentage rate will increase, but obviously, there is more investment going into the P&L. In terms of why the organic growth would improve. It’s really all about the investment that we have made and will make and the fact that we are driving returns on that already, and you see it in Q4 because we have sequential improvement for the group as a whole. And as I mentioned previously, in the businesses which we have been investing in for longer, such as Recruitment Solutions, you see a really significant growth rate and momentum. So it’s all about the phasing of the investment.
Alain Dehaze: And to elaborate on our capacity to recruit for ourselves. I think you have seen, especially in the Q3 and in the Q4 that we had this capability to recruit for ourselves, and we are very pleased that we are an attractive employer with a strong value proposition. And I must say that we are pleased with our efficiency and performance regarding hiring of the right people and also in sufficient size.
Coram Williams: And on the impact of the logistics contract in the UK, we haven’t put a number on it, but I think it was clear in my script that if you were to exclude it, then the UK business was up.
Alain Dehaze: Thank you for your questions, Konrad.
Konrad Zomer: Thank you.
Benita Barretto: Thank you, everyone, for your time today. We will wrap up here. I appreciate you’ve got other results to get to, but myself, Coram and Alain are all here for follow-up questions. Please do drop me a line, and we look forward to seeing you soon. Thank you.
Alain Dehaze: Thank you very much. Bye-bye.
Coram Williams: Thank you.